Operator: Welcome to RPM International's conference call for the fiscal 2014 first quarter. Today's call is being recorded. This call is also being webcast and can be accessed live or replayed in the -- on the RPM website at www.rpminc.com. Comments made on this call may include forward-looking statements based on current expectations that involve risks and uncertainties, which could cause actual results to be materially different. For more information on these risks and uncertainties, please review RPM's reports filed with the SEC. During this conference call, references may be made to non-GAAP financial measures. To assist you in understanding these non-GAAP terms, RPM has posted reconciliations to the most directly comparable GAAP financial measures on the RPM website. [Operator Instructions] Please note, only financial analysts will be permitted to ask questions. At this time, I would like to turn the call over to RPM's Chairman and CEO, Mr. Frank Sullivan, for opening remarks. Please go ahead, sir.
Frank C. Sullivan: Thank you, Michelle. Good morning, and welcome to the RPM International investor call for the fiscal 2014 first quarter ended August 31, 2013. On the call with me today are Rusty Gordon, RPM's Vice President and Chief Financial Officer; and Barry Slifstein, RPM's Vice President, Investor Relations and Planning. On the call today, we will provide you with highlights of our first quarter performance, as well as our outlook for the balance of our 2014 fiscal year, after which, we'll answer your questions. We are pleased with the results generated by the RPM operating companies in our first quarter. Our industrial segment grew 3.5% over last year, basically all unit growth, in part generated by a return to modest growth in our European companies and at Tremco roofing, both troubled areas last year. The balance of RPM's industrial companies are also growing at low single-digit rates in line with our expectations for the year and, quite candidly, below the levels we would expect in an economic recovery. Dysfunction in Washington and an ever-growing regulatory environment is putting a damper on industrial capital spending and even seems to be slowing down what has been a strengthening in commercial construction activity in North America. Hopefully, these political issues impacting business investment and risk-taking will be temporary instead of building into an even greater challenge. Our consumer segment had another extraordinary quarter due to the success of new product introductions at higher price points than our historic averages, along with a solid return by consumers and homeowners to more normal levels of repair, maintenance and small-project redecorating, and due to 2 very strong acquisitions: Synta, whose Restore product lines for wood deck and concrete restoration and beautification are growing through broader distribution and stronger consumer takeaway under the stewardship of Rust-Oleum; and Kirker, a world leader in nail enamel whose new colors and finishes across its broad fashion industry customer base continues to grow in its core U.S. and European markets and with early success in other regions globally. Going forward, we will have annualized the impact of these 2 consumer segment acquisitions so that our original guidance in our consumer sales for the 2014 fiscal year of 5% to 7% will be more likely for the remaining 9 months of our current fiscal year. I'd now like to turn the call over to Barry Slifstein to provide some financial details on our first quarter.
Barry M. Slifstein: Thanks, Frank, and good morning, everyone. Thank you for joining us on today's call. I'll review the results of operations for our fiscal 2014 first quarter, with prior year figures on an as-adjusted basis, and then cover some August 31, 2013, balance sheet and cash flow items. I'll then turn the call over to Rusty Gordon, RPM's Vice President and Chief Financial Officer, who will discuss the outlook for the balance of fiscal 2014. Just to remind everyone, in last year's first quarter, RPM incurred a onetime charge of $45.3 million for the partial write-down of its investment in Kemrock Industries and Exports Ltd. in India and an $11 million onetime charge in the roofing division principally associated with its strategic decision to exit certain unprofitable contracts outside of North America in order to better focus on the company's successful core roofing business in the U.S. and Canada. Using last year's as-adjusted figures, first quarter consolidated net sales of $1.16 billion increased 11.0% year-over-year due to acquisition growth of 6.2% and organic growth of 5.1%, which was predominantly due to higher unit volumes. Partially offsetting these increases was unfavorable foreign currency translation of 0.3%. Industrial segment sales increased 3.5% year-over-year to $731.2 million due to organic growth of 3.0% and acquisition growth of 0.7%, which were both partially offset by unfavorable foreign currency translation of 0.2%. Consumer segment sales increased 26.2% to $433.4 million due to acquisition growth of 17.4% and organic growth of 9.1%, predominantly unit volume driven, which were both partially offset by unfavorable foreign exchange of 0.3%. Our consolidated gross profit increased 13.6% to $499.1 million from $439.3 million last year, principally due to better leverage on higher sales volumes, supply chain initiatives and accretive acquisitions resulting in the recovery of margin lost in prior years due to material inflation. As a percent of net sales, gross profit increased from 41.9% last year to 42.9% this year, representing an increase of 100 basis points. Consolidated SG&A increased 11.7% to $335.5 million from $300.4 million last year due to additional SG&A from acquisitions completed in September of 2012; higher advertising expense; unfavorable foreign exchange due to the devaluation of the Canadian dollar, euro, South African rand and Brazilian real during the quarter; and increases in variable distribution and compensation costs attributable to higher sales volumes. These higher costs were partially offset by lower pension and M&A expenses. Consolidated earnings before interest and taxes, EBIT, increased 17.3% to $164.0 million from $139.8 million last year, due primarily to higher unit volume sales, efficiencies gained from plant operations and accretive acquisitions in September 2012. At the industrial segment, EBIT increased 2.5% from last year. The lack of leverage in this segment is primarily attributable to the negative impact of a stronger dollar versus currencies in Canada, Europe, South Africa and Brazil. Consumer segment EBIT increased 40.6% from last year, driven by higher sales volumes due to a new product -- due to new product introductions, the continued strengthening residential market and strong acquisition performance from Synta and Kirker. Corporate/other expenses of $18.7 million increased $2.1 million from last year, primarily due to higher compensation benefits and professional service expenses, which were partially offset by lower pension and acquisition expenses. Interest expense increased from $18.4 million last year to $20.7 million this year, primarily due to the issuance of a $300 million bond in October 2012 in conjunction with the Viapol, Kirker and Synta acquisitions. Partially offsetting the increase was a lower effective interest rate driven by the 3.45% rate on last year's $300 million bond issuance. Investment income was $3.9 million for the quarter, which was $3.1 million lower than last year, due primarily to less gains on sales of marketable securities this year. Our income tax rate for the first quarter was 27.4% versus the prior year first quarter rate of 29.6%. The change in the quarterly tax rate is primarily due to lower recorded valuation allowances and the changes in the jurisdictional mix of actual and forecasted earnings. Net income increased 21.6% to $103.1 million compared to last year's $84.8 million. Diluted EPS increased 20.3% to $0.70 per share compared to $0.64 per share last year -- I'm sorry, $0.77 per share compared to $0.64 per share. And now a quick look at the balance sheet and cash flows. Cash from operating activities was a negative $129.5 million, representing a decrease of $147.2 million from last year's $17.7 million. The decrease was driven by higher working capital needed to support higher sales volumes and the $61.9 million settlement payment to the General Services Administration, which was accrued for in fiscal 2013. Depreciation and amortization expense was $22.3 million compared to $20.1 million last year. CapEx of $10.7 million this year compared to $12.7 million last year. Our accounts receivable DSO increased 1 day to 63 days compared to last year of 62 days. Days of inventory was flat to last year at 77 days. Finally, a few comments on our capital structure and overall liquidity. As of August 31, 2013, total debt was $1.42 billion compared to last year at $1.2 billion. Our net debt-to-capital ratio was 49.1% at August 31, 2013, compared to 43.5% at August 31, 2012. The increase was attributable to additional borrowings in October 2012 of $300 million. Our long-term liquidity at August 31, 2013, was at $896 million, with $205 million in cash and $691 million available through our bank revolver and AR securitization facilities. With that, I'll turn the call over to Rusty Gordon.
Russell L. Gordon: Thank you, Barry. We are encouraged by our performance in the first quarter. The recent acquisitions continue to exceed our expectations, margins continue to improve, new product introductions are very successful, and we are benefiting from the restructuring actions taken in FY '13. While we are confident in our operating performance as we look forward, our outlook is tempered by the uncertainty in macroeconomic factors, including global foreign exchange markets, U.S. Federal Reserve policy and the current impasse regarding the debt ceiling and U.S. government shutdown. I should remind everyone that the first quarter's boost provided by the Kirker, Viapol and Synta acquisitions will not be so pronounced in the second quarter, when we will only have Synta for an additional month and we will have already lapped the anniversaries of the Kirker and Viapol acquisitions. We are encouraged by the positive sales gains and good earnings leverage from Europe and Tremco roofing in the first quarter, especially since they were a drag on last year's performance. As a result of Q1's overperformance versus plan, we are now increasing our original guidance of 9% to 13% EPS growth and $1.98 to $2.05 per diluted share to 10% to 14% EPS growth and $2 to $2.07 per diluted share. This concludes our formal remarks, and we are now pleased to answer your questions.
Operator: [Operator Instructions] Just to remind you as well, please note, only financial analysts will be permitted to ask questions. The first question we have comes from the line of Ghansham Panjabi from Robert W. Baird & Co.
Mehul M. Dalia - Robert W. Baird & Co. Incorporated, Research Division: It's actually Mehul Dalia sitting in for Ghansham. First, working capital jumped quite a bit in first quarter fiscal '14, even after adjusting for the settlement payment. So is it just an increase in sales that is driving that? And should we expect working capital to normalize over the remainder of fiscal year 2014?
Frank C. Sullivan: The simple answer is yes to both. Almost all of our non-acquisitions growth in the quarter was unit volume, and so we had significant unit volume growth. When you look at our days of inventory versus last year and our days receivables, they're relatively flat. So while we didn't have any improvement in there, it's not an issue of working capital performance. It's strictly sales volume growth. We would expect to see working capital more normalized throughout the rest of the year, but unlike the past year, it will be a net user of cash in the year if we hit our growth goals for fiscal '14.
Mehul M. Dalia - Robert W. Baird & Co. Incorporated, Research Division: Great. And what is your current outlook for raw material cost across the company?
Frank C. Sullivan: Our current outlook is relatively flat. We've had no impact of pricing in the quarter. Gross margin improvement was entirely based on higher sales volumes, greater operating efficiency and better mix, both from some of our recent acquisitions as well from our -- some of our recently introduced product lines. I think, longer term, there's 2 dynamics. One is the addition of chemical industry capacity in Asia, which has been building up for the last decade. And so the commodity cycle seems to be changing a little bit there. On the flip side is a significant mix change in the U.S. from oil cracking to gas cracking. Oil cracking produces polypropylene, which is a primary driver of most of the chemical raw materials around resins that we purchase, whereas gas spits out ethylene, which is not. And so that's one area that seems to be moving in the wrong direction and we're paying a lot of attention to.
Operator: The next question we have comes from the line of Jeff Zekauskas from JPMorgan.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: It's Silke Kueck for Jeff. I was wondering how much the mix effect was in the consumer segment from the introduction of, like, new products.
Frank C. Sullivan: The new products that we have introduced this summer have benefited both from broad retail distribution, and so sell-in, as well as initial good consumer takeaway. Consumer takeaway on LeakSeal, which was introduced last year, continues to be very strong as we introduce some new product ranges there in terms of colors. And our new products across DAP and Rust-Oleum generally carry with them higher than historic average margins, and they also carry with them, and this is one driver of our revenue growth, higher than traditionally average selling price points. So traditionally, for instance, in the spray paint area, our products would sell in the $4 to maybe $7 range. LeakSeal sells just under $10, and the NeverWet product sells just under $20. We also have some transformation kits that sell for hundreds of dollars. So a lot of the new products that have been introduced over the last year -- also includes that DAP has introduced a couple of new products; a unique technology on a subfloor adhesive just got rolled out -- tend to be at higher price points and better margins than our average.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Right. And is there any way to quantify this, like 1/3 of contribution to your organic unit growth? Or is it too hard to sort it out?
Frank C. Sullivan: I don't know that we would disclose the specific performance of any product lines.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Okay. In general, when we listen to other companies who sell through big box retail chains, when we listen to their commentary, it seems that the sell-through has been stronger this quarter than maybe in previous quarters. And so I was wondering whether you had the same experience. I was wondering how -- whether the trends in September and October are better or worse than what you've seen in your first fiscal quarter.
Frank C. Sullivan: I think they've continued. We had a pretty good fourth quarter in our consumer segment. And we are continuing to see good consumer takeaway. I think that, as we've been seeing building probably for the last 5 or 6 quarters, it feels like, despite some challenges in the economy, consumers and for us, most importantly, homeowners are feeling comfortable in their jobs and comfortable in their homes, and so there is a return to normal levels of patch-and-repair and maintenance and small-project redecorating. And so absolutely, I think there is a pretty solid takeaway. And I think, when you look at retailers across-the-board, the hardware and homebuilding areas are outperforming some other categories of retailing that don't impact us, but I think those are areas where consumers are making investments as opposed to discretionary spending on temporary goods.
Operator: The next question we have comes from the line of Mike Ritzenthaler from Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: So on consumer, I guess, just trying to parse out a little bit more of what Silke was talking about but on the share gain side. I was wondering if you could talk about the relative importance of increased shelf space versus more share of the consumer wallet from the same shelf space.
Frank C. Sullivan: I think, with the new products, we have increased the presence. Some of it's been shelf space. Some of it has been endcaps, particularly with products like LeakSeal or NeverWet. They lend themselves to good endcap programs. So we've seen more space and are gaining share in terms of new products. So they're not necessarily at the expense of competitors. They're basically expanding the market for consumer problem-solving. And so that's for any companies, but certainly our DAP and Rust-Oleum businesses. When you're bringing out new products or are solving new problems or actually expanding shelf space or presence, I think that's when you're at your best. And those businesses have benefited both -- those product lines have benefited both from wide distribution sell-in but, in every case so far, good consumer takeaway as well.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Okay. So if I was to kind of interpret what you just said, it seems like it's clearly both share gains and wallet share but maybe a little bit toward the share gains. Is that -- would that be fair?
Frank C. Sullivan: Well, I think it's more wallet spend because the NeverWet product, the LeakSeal product, there's -- its principal competitor is a TV infomercial mailed product, not a competitor product. This new subfloor product that DAP just introduced. They're relatively innovative, and so they're not necessarily displacing a competitive product on the shelf. They're finding new shelf space or new endcaps.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: And then just a quick clarification question about Europe and roofing. When you say that the results reflect the bottom line leverage on the restructuring efforts, are the results and outlook still reflective of softening or, I guess, stagnant end markets, but execution improved? Or are the end markets actually showing signs of life here in the results?
Frank C. Sullivan: I think, particularly as it relates to Europe, it feels like, over the last 3 quarters and, I think, the outlook maybe for the coming few months, as if the economic challenges there have bottomed out. We're experiencing low single-digit growth. One quarter doesn't make a year, but it was pretty consistent across each of the months of the quarter and as we get into the second quarter. And then the leverage to the bottom line is really a result of greater efficiency both in terms of eliminating some costs through restructurings that we talked about last year as well as just being smart about spending through what's been a challenging period. The roofing business has had a nice start to the new fiscal year, and we're hopeful that they've found their bottom. Some of that has been driven by government spending at local levels, in schools, in state and federal, so I suspect it's too early to really call that a full-blown recovery, depending on what happens in relationship to a lot of the governmental fiscal issues that are hitting the headlines.
Operator: The next question we have comes from the line of Kevin McCarthy from the Bank of America Merrill Lynch.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Frank, how would you characterize your contribution margins in both Europe and North America in roofing?
Frank C. Sullivan: Better than they were last year.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Just, as I look at the segment average for, let's say, for fiscal '13, I guess your segment was 10.4% on industrial in our model. And then are contribution margins in those businesses, I don't know, high teens or mid-20s? Do you have a sense of what they would be like in absolute terms?
Frank C. Sullivan: Yes, historically, I will tell you that our margins in Europe have tended to be a little bit less than margins in places like North America or Latin America. And historically, our margins in roofing have tended to be a little bit higher than our industrial margins. So if that gives you any sense of where they fit within our industrial segment...
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Okay, okay, maybe I'll follow up on that. And then a second question, Frank, on the government shutdown. I think you had some comments in your release about that. Is it the case that your concern would be macro in nature, in other words, potential for a slower GDP? Or are you seeing specific impacts already in recent days and weeks in your roofing business or perhaps Carboline?
Frank C. Sullivan: No, it's not necessarily in roofing. It's across issues: highway, bridge work. There's not been a renewed highway funding bill for some time, and that's shocking. That was one of those few areas of great bipartisan support. Everybody likes to paint bridges and build bridges. But more broadly, I sense -- and you can see this in industrial operating company results, which tend to be generally -- there's some higher and some lower, but generally in the low single-digit range on a revenue base. And I think that the uncertainty is hampering industrial capital spending. It seems to be now temporarily slowing down what felt like, for the last 8 or 10 quarters, a slowly but surely building investment in commercial construction, particularly in North America. So the hope is that it's temporary, and we'll see. And I suspect it's temporary. I mean, this gets into the realm of political, but the consequences of this thing going on for months and months and months, I think, would be challenging for our industrial businesses and our North American construction businesses as it relates to generating solid growth if people aren't willing to invest.
Kevin W. McCarthy - BofA Merrill Lynch, Research Division: Understood. And the last question I had was for Rusty, on taxes. I think you mentioned a valuation allowance adjustment. Can you tell us what that was and, I guess, more importantly, what your expectation would be for the tax rate for the balance of the fiscal year, please?
Russell L. Gordon: Sure. The second question, our expectation would be 31% for the tax rate. And on the other part of your question, we were able to recognize a deferred tax asset as a result of the merger of 2 companies in Brazil, and that led to some of the favorable impact you saw on the tax rate.
Operator: The next question we have comes from the line of John McNulty from Crédit Suisse.
John McNulty - Crédit Suisse AG, Research Division: Just a couple of quick questions. With regard to the acquisitions, I understand that they've annualized at this point, but in terms of the leverage or synergies that you're -- that you get from them, are we largely through that? Or is there more to come as we kind of look out over the next 6 to 12 months?
Frank C. Sullivan: I think we're largely through that. As I commented earlier, in each case, the acquisitions bring margins that are somewhat higher than RPM's average. And each of these businesses are growing nicely, so they will continue to be contributors to sales and earnings growth in the coming months. But obviously, nothing to the extent that we saw in the first quarter. One clarification: We had a very strong 26% sales growth in the quarter in consumer. The largest slug was from the acquisitions because we did not complete either Kirker or Synta until September. So we had 3 full months of very good performance there, and they will annualize. Our consumer segment original guidance was 6% to 8%. And I think, clearly, with the strong first quarter and continued expectations for good growth, both in our core businesses and in the Kirker and Synta businesses, we'll be at the higher end of that, somewhere in the neighborhood of 8% plus or minus 1 point.
John McNulty - Crédit Suisse AG, Research Division: Great, that's helpful. And then just one question, on the new product launches, is there any lumpiness in terms of how you recognize the sales as they start -- as you start kind of filling the shelves at some of your customers? Or should it be relatively smooth other than just kind of the seasonality of the businesses?
Frank C. Sullivan: Over a quarter, it's relatively smooth. They typically roll out over a 3- or 4-month period, and you hit certain parts of your distribution and then roll it out slowly in other parts. And so we are fully sold-in across most of our distribution, and then it's really just driven by consumer takeaway. And so in the long run, it will even out, but obviously, there was some -- a pretty good load-in, in the first quarter, for instance, on NeverWet. And whether that impacts next year or not will depend, really, on the growth of the NeverWet product line driven by consumer takeaway, for instance, with just one product line as an example.
Operator: The next question we have comes from the line of Rosemarie Morbelli from Gabelli & Company.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Just following up on John's question. If you take out the initial sale in the first quarter for the new products in consumer, what would have been the volume growth?
Frank C. Sullivan: Yes, I don't have a good sense of that. And again, I don't know that we would be willing to provide specific volume numbers on product lines...
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Even if you bunch them all together, Frank?
Frank C. Sullivan: No. And I don't have that. I mean we're always introducing new products: new colors, new textures, new adhesives or sealants at DAP, new flooring products, and so it's really hard. We talked a lot about the consumer products. Our Liquid Elements product line at our Stonhard business is Stonhard's first attempt to -- it's been launched in the last year, and it's starting to pick up a little bit of steam -- to get into the front of the house, into showrooms and retail as opposed to the industrial back of the house. Our Carboline business has been working for 3 years or more on a proprietary technology with a fireproofing product, a jet fireproofing certified coating called a Pyroclad X1. And that product was introduced this summer, and it is a high-performing, better-performing direct competitor to the industry leader out there, very specialty business with very high margins. So across 50 business units, we're constantly introducing new products. So that's hard to say. And new product introduction's been pretty good. It will be no surprise that we have been focusing on our gross margins. We went through a decade of just getting clobbered by raw material costs. Our industry is still dealing with raw material costs that, while they've mitigated over the last year or 2, are substantially higher than they were half a dozen years ago or so. And so our goal is to, both through acquisitions and new product introductions, as well as plant efficiency, begin to focus on improving that margin profitability. And new products is a key to that.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay. And then on the consumer side, that EBIT margin of 19.1% in the first quarter, is that kind of the low end for the year, given the new products with higher margin and other steps that you are taking?
Frank C. Sullivan: Typically, with our seasonality, the first quarter would carry the higher margins. As you know, seasonally, our second quarter is a lower-revenue quarter. And of course, our third quarter, we don't make a lot of pennies per share. I forget; last year, we made -- I don't know, was it $0.08 last year in the quarter? But relatively slow. So volume and seasonality impacts that. I don't know if that answers your question.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Well, then looking at the fourth quarter, which is also a strong one, or if you look at next year, is there -- I guess the question is, is there an upside to that 19.1% if you eliminate the seasonality going forward, I mean, next year, if you want to compare it to next year potential margin?
Frank C. Sullivan: Yes, I would -- there's nothing special in this year's first quarter, with the exception of the tax rate item that Rusty talked about, which was unique and not repeatable, and the great volume. And a big part of that was acquisition driven. But the core operations are operating well, and I think the margin profile we're putting up is -- are things that are sustainable but will be higher or lower based on revenue.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay. And since you mentioned M&A, if I may, do you anticipate a similar level of activity as you had last year in 2014?
Frank C. Sullivan: Probably not. We're always looking for good acquisitions, and we've got a lot of irons in the fire, as usual. We completed our first acquisition this year, a specialty flooring business that will operate in partnership with our Stonhard business, a company called Expanko. It makes specialty polymer terrazzo tile, cork and rubberized flooring for a lot of different areas. So we're excited about that and how, in partnership with Stonhard, maybe we can help accelerate those specialty products into other markets that they might have not been able to get to. So I think you'll see more of those small- to medium-sized acquisitions, but as we've said in the past, while it's a critical part of our growth strategy, legal issues, value issues, the timing of predicting acquisitions is awfully difficult.
Operator: The next question we have comes from the line of Andrew Dunn from KeyBanc Capital Markets.
Andrew Dunn - KeyBanc Capital Markets Inc., Research Division: I was hoping you could just help me with 2 points of clarification. First, looking at consumer, I believe you said that the majority of that organic growth was on the volume side. But obviously, you talked a lot about the price gains in your new products. So is that just because the volume in those new products is still relatively low? And then connected with that, would it be fair to assume, then, as you get better penetration in those over the next couple of quarters, you're going to see kind of that price mix start to be a bigger part of the organic picture?
Frank C. Sullivan: No. I mean, we had good sales of new products in the first quarter, both through sell-in and good takeaway. And, as I indicated there, at higher price points. So, while price actions were virtually nonexistent across most of our businesses in the quarter, particularly in consumer, so that whole 9% organic growth is unit volume, it's both a combination of higher margins on new products as well as higher selling points. When somebody goes to a store and buys a can of LeakSeal at $10, that's a nice revenue pickup for the retailer and for us versus buying a different product line that sits on the shelf that might traditionally sell at $4 or $5 a can.
Andrew Dunn - KeyBanc Capital Markets Inc., Research Division: Okay, that's helpful. And then looking at your roofing business, you did mention that, I think, in your release that the commercial construction market was getting better. Did that help at all there? Is that starting to be a more, maybe, important aspect of that business a little bit? Or is it still very, very heavily weighted towards that government side?
Frank C. Sullivan: Well, it's, first of all, almost 95% reroofing, so we are not focused on new construction in the Tremco roofing business. And so from that perspective, it's not as cyclical as some of our construction chemicals, concrete admixtures, sealants, products that do go into commercial new construction. Institutions, hospitals, universities; I mean. There's a broad base of customers for our Tremco roofing business, but a big slug of it has been governmental at all levels: schools, state universities and, certainly, government buildings. And to the extent that there's less spending in those areas, that was a big part of the negative performance that we had at our Tremco roofing business last year, quite candidly, bigger than the resolved GSA issue. And so it feels like that's flattened out. We've got a very focused sales force. They're doing a great job out there. And we had a first quarter in which we had modest growth. And because of some of the restructuring activity that we took last year, both in the first quarter and the fourth quarter, that growth was leveraged nicely to the bottom line. But I actually feel like what we're seeing in Europe is a little more solid and sustainable, and I think we've got to get a few more quarters under our belt before we feel that we've truly turned a corner in the Tremco roofing business.
Operator: The next question we have comes from the line of Greg Halter from Great Lakes Review.
Gregory W. Halter - LJR Great Lakes Review: Congrats on the consumer margin, the 19.1%. I think it's the highest by about 200 basis points in at least 10 years, or maybe in the Kennedys [ph] history. I don't know about that. But my question...
Frank C. Sullivan: I don't think that's correct. It's certainly the highest margins in the last couple of years, but if you go back 8 or 10 years ago, we got clobbered for about 8 years in a row with various raw material issues.
Gregory W. Halter - LJR Great Lakes Review: Which is the basis for my question here, and I think it was being asked earlier, whether or not that type of margin, if you were to strip out the weather factor and so forth, if that's sustainable for a quarter like this. I mean, do you see 19% as maybe moving into the 20s for a first quarter? And then obviously, looking at the other quarters separately, given the weather factors and so forth?
Frank C. Sullivan: Yes, the answer to that is no. Our first quarter is seasonally our highest-revenue quarter. This year, in the first quarter, we had a significant impact on 2 acquisitions that we completed last year in September, both of which bring higher margins to RPM in our consumer business than our traditional margin profile. So you're seeing a positive mix, and that's coming from the acquisitions as well as new product introductions, but it's also in relationship to a very high-revenue quarter in a business that is seasonal. So our second quarter will have lower revenues in both our consumer and industrial businesses. Related somewhat, lower margins. We're hopeful that the margin profile will be better in the second quarter this year than the last year. We'll see how the quarter shakes out. Again, our third quarter is very seasonal with a very low-revenue period, so the margin profile is very different. And then our fourth quarter looks more like our first quarter but traditionally, a little bit less. So I understand the question, but I think, having had it been asked twice, there's real seasonality to our business and there always has been, and that is reflected in our quarterly margins. I think the right way to look at it is look at our full year FY '13 fiscal margins and then think about what's an appropriate full year margin improvement because that's certainly the things that we're focused on, both through product mix, acquisition mix and better plant efficiency in terms of a focus, a deliberate focus on improving our margin profile. So the answer is we're focused on it. Those are the areas we're trying to get at it. It's working, and we're happy with it, but you've got to put a cloak of seasonality to our business when you're talking from one quarter to the next.
Gregory W. Halter - LJR Great Lakes Review: But again, just looking at the first quarter, is there any reason why next year and the year after that and the year after that, for just the first quarter, shouldn't be around the 19% level or even better, given the new products and the acquisitions that you've completed?
Frank C. Sullivan: If the trends in polypropylene supply and pricing continue like they are, that's going to be a problem. Depending on what our mix is or what acquisition activity we have driving growth, it could mix our margins up or down. So it's really hard to say. Again, I -- we deal with raw material issues, which are pretty volatile, and product -- new product mix and acquisition mix impact that quarter, so it's really hard to say.
Gregory W. Halter - LJR Great Lakes Review: Okay. And looking at the RPM2 Group, which you commented on had very good results, how would you define robust sales growth? And what particular units are standing out, currently?
Frank C. Sullivan: You're looking at low double-digit growth out of a couple of those units, whether it's in nail polish business, whether it's in Legend Brands, whether it's in Dane, which is a European fluorescent -- pigment fluorescent color business, product lines that are in the food prep -- especially food prep businesses. So the RPM2 businesses are a real unique set of businesses. And they all seem to be doing pretty well right now, and it's because they're all very niche leaders that are focusing on their markets, whether it is in food additives like our Mantrose-Hauser business, specialty color like Dane. Legend Brands, quite candidly, was an acquisition we did 1.5 years ago, and it underperformed our expectations and has really focused on some new products and new channels for their products. And that effort is paying off, and they are really having a great return to strong growth and strong profitability from what, quite candidly, was a disappointing first 1.5 years. So that's more of a return to expectations and a lot of happiness around that versus underperformance up until now. So those are some of the business units that are driving that RPM2 group growth.
Gregory W. Halter - LJR Great Lakes Review: All right. And same question, a similar question on the consumer side with new products. You've obviously talked about LeakSeal and NeverWet. Are there any other products that stand out?
Frank C. Sullivan: There's a brand-new product introduced by DAP. It is a industrial technology from Illbruck. I believe it's patented. It's a subfloor adhesive, an aerosolized adhesive that -- it's called SmartBond. It's literally just been introduced in the last month, and we have great expectations for that product. It is a -- an aerosolized adhesive product versus a gun-grade caulk. It has substantially greater coverage. It's a very exciting product for us. And it's basically taking a European patented technology and bringing it into the U.S. markets. And great product, great performance, time savings for contractors and consumers and, again, at higher margins than our traditional consumer segment margins. We've introduced a shellac-free primer with a proprietary resin at Zinsser, which is just rolling out. We're very excited about that. Back to the raw material issue, we've seen incredible volatility in shellac. And while our B-I-N products are the leading high hide primer, and every painting contractor's got a can of B-I-N in the back of their truck to hit pinewood or knot bleed-throughs or other real problems, it's a very expensive can of primer because its underlying raw material costs have gone through the roof. So we have worked hard to try and come up with a comparable non-shellac resin that will deliver a comparable or better performance, and we're really excited about that as well. And so hopefully, that and other comments on new products lets folks know that, that really is a focus of RPM and our companies. And it's not just the more prominent ones at Rust-Oleum or DAP that are more familiar to consumers because we all use them and we advertise them, particularly in the U.S. But on the industrial side and the primer side, where we tend not to do much advertising, we've got a lot of new product introductions across a lot of RPM companies. And it's been a very deliberate focus over the last couple of years, and it's starting to have an effect.
Gregory W. Halter - LJR Great Lakes Review: And you had a great piece on CNBC, and there was some discussion about using the NeverWet with smartphones and so forth. Any progress in that area?
Frank C. Sullivan: I would not recommend that any consumers take their smartphones apart and use our NeverWet because, while it might work, as soon as you take your smartphone apart, you void the warranty. But we are on an exploratory commission -- or mission with consumers to figure out how they're -- you're going to use this product. I personally use it on golf caps and hunting gear. You're not supposed to use it on fabric, it leaves a rough film, but on utilitarian fabric like hunting gear and golfing stuff, it works great. But consumers are using it in all kinds of different ways, and we are exploring, with certain customers, potential OEM applications as well.
Gregory W. Halter - LJR Great Lakes Review: And one final one for you, relative to industrial EBIT margins. They've been kind of stuck at the 13.2% to 14.1% over the last 8 years. Back in '05 and '04, I think they were in the 15s, mid-15s. What would stop you from -- or what does it take to get you back to those types of margin figures?
Frank C. Sullivan: I think it takes all the things we've talked about in the call today. It takes a focus on new -- better or new problem-solving products that we can introduce at higher margins. It takes a focus on acquisitions that bring us higher margins, not lower margins, and I say that because of my comment earlier. In the last decade, we have established a very strong presence in Europe, growing from about 180 million of volume to what's about 800 million in volume. And in general, our European businesses have had a somewhat lower margin profile than our typical industrial average. So it's a matter of mixing up, both in terms of product categories and geographic regions. And it is day-to-day blocking and tackling in a competitive marketplace and winning.
Operator: The next question we have comes from the line of Charles Dan from Morgan Stanley.
Charles A. Dan - Morgan Stanley, Research Division: I apologize if we've already covered some of this. I got on the call a little late. But last quarter, you guys talked about extending the Rust-Oleum platform to a lot of international markets that -- where you haven't really been in that business before. Has there been any traction on that? Sort of what's the update, and what's the sort of timing that we should expect to see that flow through?
Frank C. Sullivan: Well, in the last year, we have acquired, probably about 1.5 years ago, a presence in Australia. And we are looking to take what was principally a company there focused on spray paints for automotive into a much broader hardware store and MRO type of product range and distribution. And we have a good presence in Europe, and we're continuing to expand from a core U.K. base of business into the continent. And then we will continue to look in other regions of the world and are continuing to look for a suitable acquisition that would serve as a base to then grow the broader Rust-Oleum product line in other parts of the world. And those efforts continue.
Charles A. Dan - Morgan Stanley, Research Division: Is it fair to say that the strong growth, the organic growth that you've seen in the consumer segment so far has not been driven predominantly by penetrating those international markets?
Frank C. Sullivan: The organic growth has been principally driven by new product introductions that has impacted our biggest core markets, which is in the U.S. Our -- on a consolidated basis, we're about 65% North American and about 35% rest of the world. That is closer to 55%, and this is off the top of my head, but 55% North America for industrial, 45% of the rest of the world, and maybe more like 70-30 in consumer. And we can get those, that data for you, but our consumer segment, geographically, is much more levered towards the North American marketplace, and our industrial business is much more representative of our international presence. But we hope to change that over time.
Charles A. Dan - Morgan Stanley, Research Division: Great. And just a follow-up for Rusty. [indiscernible] is a little low this quarter. Is there any particular reason for that? Should we expect that to be lower going forward?
Russell L. Gordon: Charlie, can you repeat the question? It got muffled out there.
Charles A. Dan - Morgan Stanley, Research Division: Sorry. The question was, your minority interest on your income statement was a little low this quarter relative to recent history. I was wondering if there was any particular reason for that or whether we should expect it to remain lower going forward?
Russell L. Gordon: The minority interest really reflected the tax rate, and that's really what impacted minority interest.
Frank C. Sullivan: It's really a function of both minor minority interest in terms of joint ventures, as well as -- essentially, the way to think about it is the minority ownership interest of SPHC companies and principal European operations. And so that goes up and down, both as it relates to the reported income and the tax impact, based on the performances of those particular European businesses.
Operator: The next question we have comes from the line of Edward Yang from Oppenheimer.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Did you provide a breakdown for consolidated revenue for organic acquisitions and FX?
Frank C. Sullivan: We did, and acquisition growth for the quarter was about 6.2%, organic growth was 5.1%, and it was almost all unit volume. And the foreign currency translation only had a negative impact of 0.3%, but that was very -- that varied greatly by unit. We have a very strong South African business. Viapol is continuing to grow nicely in sales and earnings in its functional currency, but when you translate those back to U.S. dollars, given the devaluation of the real or, in South Africa case, the rand, while it doesn't show up a lot on the consolidated basis, it significantly and negatively impacts the results of certain operating subs.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And Frank, in your prepared remarks, I think you said that as you anniversary some of the acquisitions on the consumer side, you see revenue for the remainder of the year within the prior guidance range, and I think you mentioned 5% to 7%. Is that correct? I had about 8%...
Frank C. Sullivan: No, that was a mistake. Our original guidance was 6% to 8%, and I think, given the strong first quarter -- but what we see, the 8% is a better way to think about how our consumer business will end up for the year.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And what's your updated guidance for CapEx?
Frank C. Sullivan: Somewhere in the neighborhood of $95 million.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: Okay. And a lot of questions on this, but your overall exposure to government spending in general. I think you talked about roofing a bit, but on a consolidated basis?
Frank C. Sullivan: Yes, other than that, I don't know that we have a lot of exposure. Our Carboline company is a major producer of high-performance coatings for structural steel, so bridge and highway is a major market for them. And in the U.S., there is, shockingly, no updated highway legislation, which was one of those, as I mentioned earlier, one of those bipartisan areas where everybody likes to spend money, and that's not happening. So circumstantially, those are the 2 places where it hits. I think the thing that we're most concerned about is, at this time in an economic cycle, industrial capital spending should be greater than what it is. And it's disappointing to see, in a lot of our core high-performance coatings markets, low single-digit growth rates. And I think it's my view and our view that a lot of that has to do with uncertainty, particularly in the United States, around regulatory activities, around government stuff. And so people tend to be sitting on their hands. Now we've gone through a cycle here over a couple of years where the year started off well, the spring looks great, the summer is fine. And for whatever reason, politics seems to get everybody in the sidelines in the fall, and it feels like this year is another one of those years.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: And what's the dollar amount of your roofing and Carboline coating exposure or percentage, I guess?
Frank C. Sullivan: We traditionally have not disclosed the revenues of individual operating companies. Last year, we did disclose that the Tremco roofing business had annual revenues of $400 million in the prior year, and those dropped to about $325 million. So that was a significant hit for us last year. Those businesses are moving in the right direction again. And while it's traditionally not our -- with 50 different business units, to talk about individual business units, the significance of the challenges of that business, along with the GSA investigation and resolution, were such that we felt it was appropriate to provide that level of detail.
Edward H. Yang - Oppenheimer & Co. Inc., Research Division: And just a final question on your guidance. Obviously, a great first quarter, but you only raised the full year EPS guidance by a couple of pennies. Is it all just on the acquisition side? Because if I look at fiscal '13 on an organic basis, you actually come up against easier comps as the year progresses. So that would kind of lend itself to accelerating year-over-year growth outside of acquisitions.
Frank C. Sullivan: I don't think of it that way. I think we have a pretty challenging time for the rest of the year. Our fourth quarter last year was a really strong quarter. And so our forecast isn't to show huge growth over what was a huge fourth quarter. Our third quarter was pretty solid as well. And if what we're settling down to x acquisitions is consumer sales growth in the 7% to 8% range and industrial growth, it's stuck around 3.5%, then I think if you take that over the rest of the 9 months of the year, it's going to spit out numbers that will -- if we don't bump into any other economic issues, it'll spit out numbers that will get us to the upper end of our original range as opposed to where we are. So I think we're much more comfortable with the new range and being in the middle of it. And as we started the year, I think we had -- it was a pretty wide range. We had more uncertainty around that. But I think that's the way to think about the rest of the year, which is, unless we see signs otherwise, in industrial segment, it's going to grow in the 3.5%, maybe 4% range; in the consumer segment, it will be in the 8% to 9% range.
Operator: The next question we have comes from the line of Jeff Zekauskas from JPMorgan.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: Just have 2 small questions, clarification. I think there were 2 small acquisitions that were made after the end of fiscal 2013. There was like some XIM Products that were acquired and then also Expanko. What were the sales tied to those acquisitions?
Frank C. Sullivan: I don't know that -- I don't recall, actually, on Expanko. I don't if we disclosed that. I know the other little acquisition was a -- basically a primer technology business called XIM, which was relatively modest in sales but some really unique technology that we're excited about with our Zinsser business and think we can build on that. And the Expanko revenue base was $12 million. But again, that's a unique collection of products that we don't have at Stonhard and that we are hopeful that, with the expertise of Expanko and their team and partnership with Stonhard, we can take their unique flooring solutions into other markets and channels more quickly than they would have been able to on their own.
Silke Kueck-Valdes - JP Morgan Chase & Co, Research Division: And then, lastly, if you look at raw materials longer term, outside of just like a 12-month period, how do you view the development in propylene derivatives? Are you more worried about it because there's more gas space chemical production? Or are you being more intrigued because it also seems that more propane over time will be used to derive propylene derivatives?
Frank C. Sullivan: I had commented on that earlier, and I think that's exactly right. I think there's 2 long-term dynamics that will impact the commodity chemical and chemical supply base. One is versus a decade ago, we're finally seeing a build-out of actual production in some of the Asian markets for commodity chemicals and some of the basic chemicals that go into our space. So hopefully, over time, that will mean, even as China growth resurges, that much of their chemical needs will be supplied from an Asia supply base as opposed to pulling North America supplies into the Asian market, which happened somewhat devastatingly for our industry. And then the second issue, which is on the flip side, is exactly what you mentioned. As cracking and refining moves much more to gas, and the byproduct of that is ethylene and other related chemicals, versus oil and polypropylene, which is the kind of backbone of a lot of the commodity chemicals that go into our products, that's something we're paying a lot of attention to and trying to understand where that's going. Hopefully, there'll be other sources or some new technology, both out of the industry, out of the chemical supply industry and from our companies and others. But on its face, that is a very worrisome long-term challenge.
Operator: The next question we have comes from the line of Richard O'Reilly from Revere Associates.
Richard O’Reilly: I have a question on your debt-to-capital ratio. It's climbed up over the last few years. It's now 49%. And to me, that's on the high side for you, at least historically. What do you see as your goal? Or where do you see that going over the next year or couple of years?
Frank C. Sullivan: Historically, we've had a debt-cap ratio that's pretty much ranged from 40% to 60%. I think our -- the high point of our debt-cap ratio was around 62%, 63% historically, and I'm talking over the last 10 or 15 years. And we've always been comfortable in that range. Our stated goal, from a capital structure perspective, is to be investment grade. We like the middle space, the middle BBB investment-grade range. And it would be our goal, both through a debt repayment, cash flow generation, as it relates to future acquisitions, where appropriate, whether it's outright or in conjunction with some type of securities issuance, to make sure that we maintain an investment-grade rating. And that's kind of the position we've taken for the 20 or so years that we've had a public debt, and that's how we think of our balance sheet. The flip side is we think the sweet spot in terms of cost of capital and flexibility is in that BBB range. So you shouldn't expect us to, over time, slow down our acquisition program and focus on debt reduction such that we have a goal of getting an A rating. That's not how we think about growth in our balance sheet.
Richard O’Reilly: So a couple of years ago, it was as low as about 35%. So that was on the lower side of what you would have liked, and now it's back to "normal". I guess that's how...
Frank C. Sullivan: I think that's right. I mean, again, traditionally, somewhere between 40% and 60% range is where we've been comfortable. And our debt is entirely driven by acquisitions, so we have an opportunity -- we have no plans at this stage to do anything about it. We're very comfortable with where we are in terms of our capital structure, our cash flow and our liquidity. As it relates to future acquisitions, we look at those both in terms of what it takes to do the deal, and obviously, we have pretty good discipline of doing deals at a value that works for our shareholders; and also, how we need to fund those in relationship to our balance sheet goals.
Operator: The next question we have comes from the line of Mike Ritzenthaler from Piper Jaffray.
Michael J. Ritzenthaler - Piper Jaffray Companies, Research Division: Just a quick follow-up that is unrelated to the operating results, but I was just curious if you could remind us where things sit with regard to SPHC and the legal process, given the news flow in other asbestos-related cases recently. Is there -- I was just curious if there's any update.
Frank C. Sullivan: Really no update. The bankruptcy process and the ruling out of bankruptcy is on appeal, and we're awaiting action from the District Court, as well as a possible direct appeal to the Third Circuit, the Bondex/SPHC businesses are. And the best information we have is that appeal process could take the next 2 to 3 years. I think the recent announcements in other asbestos situations is favorable and highlight some of the challenges and problems in asbestos litigation. And to the extent things like that are uncovered, it certainly won't hurt us.
Operator: The next question we have comes from the line of John Roberts from UBS.
John Roberts - UBS Investment Bank, Research Division: I could understand your business outlook comment about the gridlock in Washington and the effect on the U.S., but I was surprised about your foreign exchange market comment. And you noted earlier you have a lot of -- a wide range of effects across the subs. Is there anything in particular you want to call out for us that we might be exposed to?
Frank C. Sullivan: I think the biggest challenge that we've seen, and it's a little bit of a disappointment because it masks otherwise really good performance, is in Brazil. We acquired Viapol last summer. It's a $100 million producer of roofing felts, waterproofing sealants. We are in the process -- we're spending some money down there to bring in other RPM products. We have finalized and have in place admixture, concrete admixture production, and they are in the final stages of filling out a concrete admixture sales force that will be part of that Viapol business, but in partnership with our Euclid Chemical operation, we are in the mid-stages of rolling out some of our polymer flooring technology into that market. And their underlying core markets and growth in their functional currency, real, are continuing to do really well. In the last 1.5 years -- or not the last 1.5 years, literally the last year, and most of that's come in the last 4 or 5 months, the real has devalued by about 18%. So those -- that performance has been translated back into dollars as relatively flat, which is a disappointment. But nonetheless, the management team of that business, our plans for having them pull through other RPM product lines into the Brazilian market, are continuing. And in their functional currency, they're doing a great job. So that, in particular, is a challenge for us. The other one I'd mention is South Africa. We've got a real strong presence down there and a very well-run business, and the rand is devalued by about 18% or 20% as well. So those -- that strong performance and good business results are being translated back. The other currency is just what happens with the euro, and it seems to be relatively benign in relation to where the euro is today.
John Roberts - UBS Investment Bank, Research Division: That's the one I think about more. Okay.
Frank C. Sullivan: And that's where we have the biggest exposure, but we wouldn't expect the volatility there that we're seeing in some of the foreign -- other developed countries.
Operator: The last question we have comes from the line of Rosemarie Morbelli from Gabelli & Company.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Just a couple of quick clarification. Rusty, when you talked about the tax rate of 31%, is that for the full year, or is that for the next 3 quarters, therefore, the full year ending up lower?
Russell L. Gordon: That's meant for the full year.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: Okay, so higher than 31% next 3 quarters? All right. And then if I do the math, taking your net income and your fully diluted shares, it actually adds up to $0.79 and not $0.77. So what am I missing in between? And I am using 103.098.
Russell L. Gordon: It's a lot more complicated of a calculation than just dividing those 2 numbers.
Frank C. Sullivan: Yes, you have to look at assumptions for what shares and executive comps get exercised.
Russell L. Gordon: Yes, if you look at our 10-K, there's some disclosure on that, that could help you out.
Rosemarie J. Morbelli - Gabelli & Company, Inc.: And lastly, I presume that we will have the either 39th or 40th year, I keep losing track, of dividend increase announced in October. Are you thinking about dividend increase in line with EPS -- or in line with EPS growth or slightly lower?
Frank C. Sullivan: Our board meets tomorrow, and we have our annual meeting of shareholders tomorrow afternoon, and it is tomorrow's meeting at which the board typically visits our dividend program. As you'll recall, we increased our dividend right through the recession. Our payout ratio, we've been comfortable with that in the mid-40s range, got up into the mid-60s, which was too high. So we had stated at that time that we would continue to grow our dividend at a rate of growth that would be less than earnings so that we can get our dividend payout ratio back into the low-40s, mid-40s. So I think we're continuing on that path. While it is a decision of our board that they will consider tomorrow, it is highly, highly likely that we will have our 40th consecutive increase in cash dividend. What that would be is really determined by the board at our meeting tomorrow. I will tell you, we have communicated the last 2 years our goal of having $1 per share of cash dividends by FY '15, which would be this time next year. So somewhere between the $0.90 we're paying out today on an annualized basis and our goal of having $1 per share of dividends paid to our shareholders a year from now is an opportunity this year and next year to grow our dividend accordingly and at the same time, get that payout ratio back down to the low-40s, at which time, we'll be in a position to grow our dividend much more in line with our earnings growth.
Operator: At this point, I'd now like to turn the call over to Mr. Frank Sullivan for closing remarks.
Frank C. Sullivan: Thank you, Michelle, and thank you for participating on our call today. Tomorrow afternoon at 2:00, at the Strongsville, Ohio, Holiday Inn, we will welcome approximately 1,000 RPM shareholders to our annual meeting, where we will review our fiscal 2013 results, our fiscal 2014 first quarter and our outlook for the balance of the year. At that meeting, we will celebrate the service of Bill Papenbrock, who will be stepping down from our board after 41 years. Few directors can claim to have been part of a company when they joined at $11 million in sales and retire at $4.1 billion. He's been a tremendous contributor to our growth success and a great representative of our shareholders. Tomorrow, as I mentioned earlier, we will also announce the actions taken by our board related to our annual cash dividend program. Lastly, I'd like to thank the RPM associates for their dedication, commitment and for competing and winning in a challenging marketplace. Thanks, again, for being on the call today. And have a great day.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Thank you for joining, and enjoy the rest of your day.